Operator: Ladies and gentlemen, welcome to AIXTRON’s Q1 2015 Results Conference Call. Please note that today’s call is being recorded. Let me now hand you over to Mr. Guido Pickert, Director of Investor Relations at AIXTRON, for opening remarks and introductions.
Guido Pickert: Thank you very much, operator. Let me start by welcoming you all to AIXTRON’s Q1 2015 results conference call and thank you for attending today’s call. My name is Guido Pickert, as said, Director of Investor Relations and Corporate Communications AIXTRON. I would like to welcome our President and CEO as well as active CFO, Martin Goetzeler, as well as our COO, Dr. Bernd Schulte. As the operator indicated, this call is being recorded by AIXTRON and is considered copyright material. As such, it cannot be recorded or rebroadcast without expressed permission. Your participation in this call implies your consent to this recording. As with previous results conference calls, I trust that all participants have our results presentation slides, page two of which contains the usual Safe Harbor statement. I will therefore not read it out loud, but would like to point out that it applies throughout the conference call. You may also wish to have a look at our latest IR presentation, which includes additional information on AIXTRON’s markets and its technologies, which is also available on our website. This call is not being immediately presented via webcast or any other medium. However, we would place an audio file of the recording or a transcript on our website after the call. I would now like to hand you over to Martin Goetzeler, AIXTRON’s President and CEO as well as acting CFO, for opening remark. Martin?
Martin Goetzeler: Many thanks, Guido, and welcome from my side as well. Let me start by giving you an overview of our key developments before commenting on our financial and business performance during the first quarter. I will then hand you over to my colleague, Bernd Schulte, who will give you some information on the ongoing market positioning of our new MOCVD tool for the LED market, the AIXTRON R6 Showerhead as well as our recent acquisition of our OLED encapsulation company PlasmaSi Inc. Finally, I will summarize the business prospects going forward. Let me say upfront that the first quarter was as challenging as we expected, with revenues coming in at €40.3 million which was lower than both the previous quarter and the first quarter in 2014. EBIT also remained negative at minus €8.8 million was a positive note that this was the best quarter of earnings results in six quarters. Before I make my comments about our Q1 financials let me first talk about our core market MOCVD for the production of LEDs. We are seeing the continued positive momentum in the LED market particularly at the end user level. We are also seeing a change in the market away from being regulatory for example by the ban of incumbent lighting technologies by governments around the world to be increasing the economics presence. LED solutions have become competitive against incumbent lighting solutions and this is going to drive double digit growth over the next years. The independent market research firms territories are limited for instance, across the market to more than double its size from $20 billion last year to $45 billion in 2022. As it is clear, that this market will lead additional production capacity and thus, new MOCVD equipment. Therefore we expect further growth in MOCVD equipment for LEDs driven by the new generation tools with increased throughput and significantly reduced cost of ownership. With regard to the other technologies, we see positive developments in Q1 led by silicon. Interesting to mention, during the International Solid-State Circuits Conference in San Francisco in late February, it was confirmed that this certified technology for silicon devices will be introduced for logic at seven nanometer, which we see as further opportunity for the AIXTRON portfolio. Last but not least with the PlasmaSi acquisition, we have reiterated our commitment to innovation, customer focus and the organic growth since we identified significant value behind this investment. Let me now take you to our numbers for Q1, starting with slide three. During the first three months of 2015, we’ve generated €40.3 million in revenues, a decrease of 8% over the €43.9 million we generated the same quarter last year. This also is a reflection of the ongoing positioning process of our AIXTRON R6. That said, our order intake including and spares and services was stable year-on-year and sequentially at €48.9 million and we ended the quarter with our strongest backlogs since Q3 2013. This €17.0 million backlog is a reasonable visibility for the second half of this year. Please note that we have adopted a new policy to report order intake spares and services starting in Q1 to better reflect industry and our intensified activity in spares and services business. For comparison purposes previous figures have been adopted to this new policy. Due to the general quick turnaround of spares and services in the revenue, the order backlog figures will remain unchanged and continue to include equipment orders only. US dollar based equipment order intake backlog remained to be recorded at the budget rate which for 2015 was set at $1.25 per unit. The most important market for our equipment and services in Q1 remained in MOCVD deposition equipment for LED applications which comprised 49% or €40.2 million of that quarter’s revenue. As mentioned earlier, in Q1 2015 order intake and revenues we started to recognize shipments to sum up. For our revenues driven by equipment for the silicon industry, we see growth compared to Q4 2015 as both order intake and revenues at solid level. 72% of the revenues in the first quarter namely €29.1 million came from equipment sales with the remaining 28% or €11.2 million coming from the sales of spare parts and services. These ratios are more or less in line with the 75-25 break down we have come to expect. On a regional basis, over 82% of total revenues in Q1 2015 were generated by sales to customers in Asia, while Europe accounted for 13% of sales with the remaining 5% coming from the Americas. Now our P&L, turning to slide number four, we have also adopted a new policy to reflect use of in the semiconductor equipment industry. We have reclassified warranty expense selling expenses up to P&L in cost of sales having effects on gross margin and OpEx. Again, for comparison reasons, we have applied this rule to previous figures as well. In Q1 2015, gross margins were 22% which was ahead of the 18% achieved in the previous quarter but slightly below the 23% achieved in the same quarter last year. Sequentially, this positive development reflects our activities to work on level of gross margin and specifically of our material costs driven by our designed to cost activities. Mainly due to the lower quarterly revenues converting these margins gross profits gives us €8.8 million for the closed quarter. This was below the €10.4 million gross profit we generated in the previous quarter and the €10 million we made in the same quarter last year. The operating expenses at €17.6 million were lower sequentially and year-on-year which was mainly due to lower research and development costs as well as a positive currency impact recorded as other operating income. EBITDA in Q1 2015 it was sequentially and year-on-year to minus €6.4 million. Our operating loss in Q1 2015 of €8.8 million was also well below the operating loss of €18.9 million we recorded in Q4 2014 and the operating loss of €10.9 million we recorded in Q1 2015. Please note, that operating expenses in Q4 2014 were also influenced by restructuring costs. Therefore, net income also increased sequentially and year-on-year to a loss of minus €9.5 million in Q1 2015. We do expect profitability to improve as revenues pick up in the second half. In the meantime, we are continuing to streamline our operations and in the first quarter we initiated a reduction of our workforce by approximately 60 people worldwide. Let us have a quick look at our cash flow statements on slide five. The operating cash flow in Q1 2015 amounted to minus €8.6 million mainly reflecting the operating loss for the quarter. Including CapEx, free cash flow was minus €12.1 million. Both cash flow figures exclude the cash flow effect of minus €1.5 million for short term loans prior to the acquisition of PlasmaSi. Let’s move to slide number six which shows our balance sheet. Our balance sheet remains solid with shareholders’ equity being at €419.2 million and the equity ratio of 77% as of March 31st. We have no financial debt and cash and cash equivalents at the end of the first quarter was €263.2 million down by only 2% on the previous quarter’s ending balance. The difference to the free cash flow stems mainly from the currency effects of cash in US dollars. The increase in inventory and the related advanced payments from customers primarily reflect the higher order backlog at the end of March 31st. There were no other material changes in the balance sheet over the last two months. In summary, we remain well positioned with a solid balance sheet which will allow us to continue investing in our future while moving of the year to our goal to return to sustainable profitability as soon as possible. Now let me you hand you over to Bernd who will talk about our recent acquisitions and the ongoing roll out of our new MOCVD tools the AIXTRON R6 Showerhead.
Bernd Schulte: Thank you, Martin. Let me start by talking about the announcement of our recent acquisition. Effective April 1st, we acquired the California based OLED thin-film encapsulation technology company PlasmaSi Incorporated. This move was driven by our conviction that the OLED market will be essential for our growth strategy and this acquisition of the dressing manufacturing steps which are complementary to our own current OLED acquisition activities. It is additionally offering market as well as customer synergies and turn them into widened offering to the OLED industry. What the technology of PlasmaSi does is encapsulating organic LEDs positive spin and flexible barrier films to proprietary plasma enhanced CVD technology which is particularly well suited for flexible OLED. We regard this high throughput step as critical for large scale low cost manufacturing of all times. We are excited about the acquisition and the opportunities it brings us. Let me also briefly comment on the ongoing market positioning of the AIX R6 a new generation of Showerheads in most LED equipments. We already have contracts for the R6 with seven customers and the feedback is very encouraging. We are convinced that this tool will allow us to gain market share and improve our customers and our margins. That said, there is a learning curve and a qualification process with each customer and therefore it takes time and that is what we are currently going through. Let me end by saying, that we remain fully committed to our technology and market strategy. We will continue to focus on building our manufacturing solutions and service offering in the high growth areas of LEDs, OLEDs, power electronics, memory chips, 3.5 silicon for future logic applications and hard materials. We also believe that we can not only deliver highly effective and cost efficient solutions to our target markets in the future, but we are convinced that we can do so profitably. With those words, let me hand back to Martin.
Martin Goetzeler: Before we open the line for questions, I would like to summarize the operational points we have presented to you today, and then give you our perspective on the broader business topics we are addressing in this challenging period. I think that we have made it clear that as expected Q1 has been tough. We have also pointed out that we remain positive about the prospects of the second half of 2015 and into 2016. We see revenues for this year being somewhere between €220 million and €250 million. We also expect to reach EBITDA breakeven in the second half of the year in spite improvement in EBIT net income and free cash flow we anticipate these figures to remain negative in fiscal year 2015. Looking ahead, we have some very important R&D projects which we need to execute efficiently and effectively, in the OLED areas including PlasmaSi as well as in power electronics this year. As mentioned, also our 3.5 silicon was confirmed in our R&D activities gained further momentum. Finally, let me finish by reemphasizing the three milestones I mentioned some eight weeks back in our 2014 Annual Results conference call that we need to hit on our way to sustainable profitability. So first one, is a need to successfully position our new AIXTRON R6 tool across major LED producers in different regions and to ramp up its production. As Bernd mentioned, we are making good progress there. The second point was that we would continue efficiency and cost cutting initiatives in this regard we are making progress which can be seen in the operating costs for Q1. The third point is the need to continue strengthening our diversified technology portfolio. This we are doing across LEDs organic LEDs, power electronics, memory devices on silicon and carbon materials. Ladies and gentlemen, with that Bernd and I are now available to answer your questions.
Guido Pickert: Thank you, Martin and Bernd. Before we take questions, I would ask everyone as always to limit your questions to maximum two each time just to allow everyone a chance to have their questions answered. Thank you. Operator we would now like to take the questions.
Operator:
. :
David Mulholland: Hi and thanks for taking the questions. Just firstly, I wondered if you could talk a little bit about what progress you made in the quarter in terms of your understanding of the manufacturing costs around the new AIXTRON R6 and off the back of that, where do you think as you ramp up the products you can get your gross margins back towards? And then secondly, just on the plasma registering to OLED I wondered if you could spill color on what technology within that company is in ready for market or does this advancement and why you decided to acquire this one historically itinerary trying to organically
Martin Goetzeler: Bernd will answer the second question first.
Bernd Schulte: Yeah, PlasmaSi you mentioned your question is regarding the states of their technology production [inaudible] clearly this in the product development so it’s not what we can immediately sell but nevertheless we have already talks with associate beta customers who are prepared to test these equipments but these would not be on large area as we would have expected for manufacturing. So this could be more on the generation tool, so 100 or 200 millimeter sizes. So the company currently has demonstrated the feasibility by next scale type of systems and what we’re currently doing jointly is bringing this into small scale pilot type of production or R&D advanced R&D systems.
Martin Goetzeler: Regarding your first question, here particularly focusing our new next generation tool as we had commented, and you’re right we have clearly have some ramp up topic that’s beginning the costs are higher and I have to say this is one business efficiency aspect which happens with every ramp up. On top of this, I also mentioned couple of times what we call it designed to cost activity, we really work on all the components together as our suppliers to bring the material costs down and addition we actually work also on the process how to reduce our value added costs. So it’s a activity and clearly on the costs side, which is going on as we speak and definitely factor in over a certain period of time but we see ourselves starting now to record very useful for these tools at the beginning of this ramp up and therefore major effects we should really expect later this year.
David Mulholland: Just to follow up on that, are you still confident that you can get gross margins towards the 30% 35% range, given what you’ve seen so far on the product development?
Martin Goetzeler: I will say the following for me is important that we reiterate what we said we are targeting in the 30% to 35% and it’s really our first step and clearly the beginning will also depend to a significant degree always on the product mix when can we achieve it earlier? Can we achieve something later? But definitely the cost activities is what we have in the pipeline will allow us going forward also to get again towards this goal is exactly what we are focusing on.
David Mulholland: That’s great. Thanks very much.
Operator: The next question comes from Gerhard Orgonas with Exane. May we have your question please.
Gerhard Orgonas: Yeah, good afternoon. I’ve got two questions first of all, could you probably give us a little bit of an idea of the progression of the San'an ordering in the course of 2015? Should we expect more sales in Q2 already than what we’ve seen in Q1? And secondly, just as a reminder, if your guidance for 220 million to 250 million sales based on your budget rate 125 or is it just guidance?
Martin Goetzeler: So as we mentioned in also in the previous call we definitely reiterated underlined the larger part of this order from San'an we expect in the second half of the year. So it’s difficult to give a clear indications by the quarter but that’s what we would like to reiterate and I think what is important to mention that in collaboration and also the customer side, everybody they work on getting the tool qualified for their best production and also, I believe is something which is making good progress and we can only reconfirm. Regarding the guidance, the 220 to 250 today is based on our basically on the actual numbers of Q1 and for the rest of the year we plan on 125.
Gerhard Orgonas: Okay. Thank you.
Operator: The next question comes from Adrian Pehl, Equinet. May we have your question please?
Adrian Pehl: Yes, hi gentlemen. Actually first of all, could you please be so kind to remind us of your R&D budget that you plan to show in the 2015? And secondly I saw that depreciation was pretty low in Q1 so was wondering whether this is the level that we should model going forward in the next quarters and may be you could elaborate little bit on what caused the low depreciation? And last but not least, in the past conference call, you said and I remember this correctly that new generation tool is out for evaluation at six customers. So I was wondering whether you made any progress here in terms of did you ship more evaluation tools and ship those too to new customers? Thank you.
Martin Goetzeler: Let me answer your first two questions and Bernd comment on the third question. D&A was low true it was due to the write down of the tools in several locations ended last year and therefore we are running currently at a low rate but that will go up again because we are now basically capitalizing and then start to depreciate our tools one tool is actually already started but the other tool is coming on in and this will happen with an increased impact. And then we will clearly also have in our lap another sixth tool going forward. So there will be some activities. Secondly, this has an impact on CapEx but also on the R&D costs with the acquisition of PlasmaSi R6 some of these numbers which we budgeted will change so there will be also a tool in PlasmaSi. There will be also additional R&D costs coming from PlasmaSi so I think we continue to have goal at around close to 60 million of R&D for this year’s may be not a wrong number.
Bernd Schulte: Let me comment on your question about the six customers in the meantime we have agreement with the seventh customer. We have shipped tools six customers in total some have multiple systems but understand that I can’t give more detail on the specific splits. But basically we’re working with customers having system shipments working within optimizing recipes for all the tools.
Martin Goetzeler: May be one last comment which is too early to comment on if we talk about PlasmaSi acquisition, it will clearly split our purchase price in the goodwill. We have assets, we have goodwill and we have intangible assets. So, there will also be an effect out of this so it’s not just what we can call a lap tool or a qualification tool but it’s also about locating the acquisition to the different asset groups.
Adrian Pehl: Right. And just one follow up actually, when you said that you will be capitalizing the OLED tool how much do we speak exact here in terms of what we find actually is CapEx?
Martin Goetzeler: To give you an indication, if you look at both tools the classical, integrated tools and the gen 8 tools both together are in the two digit but they are in low two digit.
Adrian Pehl: Okay. Thank you.
Operator: The next question comes from Janardan, Liberum. May we have your question please?
Janardan Menon: Yeah, hi. Thanks for taking the question. Just on the PlasmaSi acquisition, how much of the value of this business is dependent upon the success of your OVPD deposition tool? What I’m saying is you’ve mentioned things like there is shareholder value if it can be in a cluster etc. So in the event that the OVPD tool trials are not successful and they don’t find sufficient customer interest in that than would a PlasmaSi be a sufficiently attractive standalone business for you? And the second question, the seven LED manufacturers that you’ve got a contract with, would that predominantly be 2015 revenue or will it be more sort of 2016 revenue?
Martin Goetzeler: Okay first your question on PlasmaSi, I think the nice thing about this acquisition, it’s yes on those questions. So we can basically commercialize this business independently because couple of advantages for example we always set our OVPD the larger the structured size the higher the value for the customer. And in this case it’s really independent from the sub states and therefore we will and it’s about flexible sub states so it can be actually integrated in all existing lines as well. So there is a broad opportunity going well beyond our market for OVPD. On the other side, by giving our customers two technologies where we believe in which they are edged for our customers it’s clearly gives us an additional advantage to generate additional customers by combining those two. And we will do so, by integrating both technologies in our trusted tool here so that we can demonstrate. The second question was six customers, here the contracts we are talking about I think we mentioned several times to you that the Sa’nan which is clearly a bigger order. The large portion is in the second half what we expect we can also assume that some part might go even a little bit further, but all other contracts we believe will be 2015 contracts.
Janardan Menon: Sorry, 2016 you said or 2015?
Martin Goetzeler: 2015. 2015. Only for this larger order we expect a couple of tools slip into 2016.
Janardan Menon: Thanks.
Operator: The next question comes from Sandeep Deshpande, JPMorgan. May we have your question please?
Sandeep Deshpande: Yes. Thank you. If I may ask a question on - you’ve talked about six tools being shipped to customers for evaluation etcetera, you’ve announced an order with one Chinese customer. Where are you on progress on signing up new customers in terms of volume production for the tool? And when you guided for the full year, it does indicate the second half in revenue terms is bigger than the first half and you’ve said your Chinese customer is going to take more second half loaded. And is that I mean is the turnaround of the event are based on gross margin improving as the new tools ship?
Martin Goetzeler: I will say, it’s a mix the second half we will see and was an increase also for other applications particular in the area of our especially we see them increase in the second half than we will see higher number of tools for our six clearly another driver for the additional revenue. So it’s not we can say it’s basically just one indication but it’s clearly one of the major drives.
Sandeep Deshpande: And on my first question regarding other customers on the --
Bernd Schulte: Sandeep, it’s Bernd. So to talk about the other customers talking about volume reductions, I mean you know it’s an investment for both sides but only for the customers. And they certainly will only investments if they plan to do system introduction and turn them into volume, it’s a significant investment for both sides. So some customers we have let me say from agreements success we should more but this we will certainly not publish. If I’m [indiscernible] but we are convinced that when we work with these customers, we have both the intention to bring this late into the volume orders.
Sandeep Deshpande: Okay, understood. And I have a follow up on the gross margin, when I compare your gross margin the first quarter of this year, to the first quarter of last year, I mean your gross margin is down year-on-year despite the currency having worked in your favor. Can we understand some gross margin dynamics in currency terms because when you are pricing your tool in dollars, I would expect and so your gross margin should have potentially benefitted given that dollar has --
Martin Goetzeler: Sandeep you’re right, the dollar favors us that’s true, on the other side, I mentioned that we still have the ramp up situation of senior tool which we did not have last year in the gross margin which will act as a counter effect. So that’s why basically the gross margins are at similar levels.
Sandeep Deshpande: Thank you.
Operator: The next question comes from Maxime Mallet, Natixis. May we have your question please?
Maxime Mallet: Yeah, good afternoon. Thanks for taking my questions. Two questions, first one would be regarding the utilization rate that you’ve seen Taiwan, China and Korea, if you could give us some where you stand right now in markets as you mentioned it has increased? And the second one since we talked about R&D business for this year, is regarding G&A do you expect that we should be around the same level of SG&A in coming quarters? Thank you.
Martin Goetzeler: First mainly on the SG&A, SG&A clearly is now focus regarding our cost we keep it very, very under control and that’s the primary point and therefore I would say compared to the current level not go up. Regarding your question utilization rates, I will say it’s important to see and I think you’re referring also to our comments which we made in prior calls, we had this dip in Q4 coming because of the seasonal impact in the backlogging customers and secondly there was some over stock some customers for lighting applications. This is now going away. We saw significant improvement basically in all regions. We are looking at and we expect that improvement continues further also in Q2. So there is positive momentum in this area.
Maxime Mallet: Okay. But you don’t have any more precise figure to share regarding the utilization rates?
Martin Goetzeler: One second… basically large suppliers China we expect or we see that the large ones as much as 90% in the other regions may be a little bit lower but that’s not so easy to differentiate. But in general, what I would like to reemphasize is significant a positive trend already too compared to Q1 and we expect another 10% increase for those regions which are not higher levels when you compare to Q1 or in Q2. So that everybody should reach around 90% in Q2 at those levels.
Maxime Mallet:
Operator: The next question comes from Günther Hollfelder from Baader Bank. May we have your question please?
Günther Hollfelder: Thank you. Just a follow up on OLED business, could you elaborate on the other type of thin films, the technology its using and also regarding your Gen8 demonstrator. So does this only make sense to you with this technology if you have a flexible substrate if this is correct? Thanks.
Bernd Schulte: Let me comment on first on what type of, I assume your question is regarding the PlasmaSi. The type what they are doing is a silicon layered and modulating in those directions so basically with this technology we can [indiscernible] encapsulation of blocking OLED against from oxygen. The other one is less which gives the hosing flexibility. This is the special unique technology from this plasma enhanced DVD film and this special technology PlasmaSi has developed. And the Gen8 we mentioned, that is our own technology which in principle those technologies are independent from each other as they are different steps in the production of the OLED. Gen 8 we have specifically developed for larger screen applications for flexi OLED small sizes you do not necessarily need the Gen 8 but we decided to develop the Gen 8 to have a technology which demonstrates that you can go up to Gen 8. So when you can do Gen 8 I think nobody would question you can do smaller sizes. And for future TV applications, the size of Generation 8 is potential to be cost efficient.
Martin Goetzeler: It can also be flexible or not flexible.
Bernd Schulte: Yeah, it’s independent from the type of structure.
Günther Hollfelder: And then do you expect this technology to scale very fast to Gen 8 then too or are you focusing on small substrates?
Bernd Schulte: The PlasmaSi technology has definitely the potential to get it to same size like the OPVD. But nevertheless, right now I mean the needed opportunities for the technology is in smaller display sizes for variable or for cell phones etcetera where you want to make use of the functionality effect possibility. And we are promising the latest phones from Samsung with bigger screens and this you can basically even further flexible display and various and even need for this large deposition size but nevertheless, on the long run we see that this might also be an opportunity technology for TV applications.
Günther Hollfelder: Last question, your Gen 8 demonstrator is still expected to be in operation at the end of the quarter?
Bernd Schulte: Yes.
Martin Goetzeler: We can confirm it’s running up as we speak here.
Günther Hollfelder: Okay. Great. Thank you.
Operator: At the moment, there seems to be no further questions. [Operator Instructions]. The next question comes from Malte Schaumann, Warburg Research. May we have your question please?
Malte Schaumann: Yes, good afternoon. The first one a follow up on PlasmaSi’s technology, would you say that the flexibilization[ph] is the key differentiator to other technologies or other based processes or even ALV processes also capable of doing such a layer?
Martin Goetzeler: May be to some lines again, what are the advantages and Bernd also highlighted this and continue to point out maybe it’s clearer, I think what we achieve is the extensive produce here we have low mechanical stress then I think of the very weak it has to get flexible substrate. The second thing it’s very flexible in and higher on density or less dense but last and not least, has a deposition rate. So speed is also a key topic. So if you put these three together, I think you’ll see the differentiated factor to the incumbent technologies.
Malte Schaumann: Okay. So in your perspective, even for based process are you superior to other [indiscernible] based process would you like to say about other players?
Martin Goetzeler: That’s why we decided for this investment and we see here this significant advantages which by the way before we did this acquisition we also went to a due diligence where we also contacted customers and potential customers and therefore we could also highlight or basically get evidence for these arguments directly from the customers.
Malte Schaumann: Okay, good. Then secondly on your non-LED business can you elaborate a bit on the evaluation progress you’re making with other additional silicon ALD customers? And secondly may be on the power electronics market how do you see that developing may be this year and what are your expectations next year?
Martin Goetzeler: First of all I think, 2016 will be a very important year for the ALD application for new customers and also additional films. So we are looking in different directions and I think most of these decisions will be taken in 2015 and therefore we can give you then further information when we are there. Regarding the question of power electronics I think we mentioned that we have between 40 and 50 tools in place and almost the same number of customers and what I think is important or interesting to mention is that some of these customers now move from pure R&D to a pilot production 80 production mode and that clearly should support additional growth in this area as well. And partially what we also say in the second half will also be applications in power I’m not sure but I think we mentioned a couple of times our tool as well which we installed in order to further demonstration to further silicon application. This is now as we speak, going online and will allow us to do further demos with customers who want to work.
Bernd Schulte: May be to add to power electronics, certainly there is no large volume business to be expected soon but we see clearly the trends of the customers are moving there the qualification, the internal qualification production question. So they want to simulate high volume manufacturing receivers in particular, we have developed last year, solutions two automation solutions for our chemical reactive family and this now customers are now ordering and want to qualify this with a clear indication that they wanted to see systems in a production like environment and test it on a production like circumstances.
Malte Schaumann: Okay. From the perspective on ALD side, decisions on your films are customers potentially be for Q4 or will there be rather at the end?
Bernd Schulte: On the silicon, we also make a good progress, we shipped LED tool for another development program to Asian customers and we hope that this tool not only this tool will get into revenue by end of the year, related to early next year but certainly the key is to get our business from this customer well established films we have from other customers so we are very, very positive can turn this chain into production. Besides we have other as Martin mentioned, good success in the [indiscernible] intake at the silicon but this is a MOCVD product.
Malte Schaumann: Okay. Thank you.
End of Q&A:
Guido Pickert: Thank you very much. At this point, we will have to wrap up AIXTRON Q1 2015 earnings call. Thanks all of you for joining us and thank you for your questions. If you have any additional questions or questions may be open, please don’t hesitate to contact with us here or U.S. our IR manager Andrea Su. Thanks for your interest again and good bye.